Leanne Sievers: Good afternoon, everyone. And welcome to Diodes Incorporated Fourth Quarter and Full Year 2025 Financial Results Conference Call. At this time, all participants are in a listen-only mode. At the conclusion of today's conference call, instructions will be given for the question and answer session. If anyone needs assistance at any time during the conference, as a reminder, this conference call is being recorded today, Tuesday, 02/10/2026. We would now like to turn the conference call over to Leanne Sievers of Shelton Group Investor Relations. Leanne, please go ahead.
Leanne Sievers: Good afternoon, and welcome to Diodes' Fourth Quarter 2025 Financial Results Conference Call. I'm Leanne Sievers, President of Shelton Group, Diodes' Investor Relations firm. Joining us today are Diodes' President and CEO, Gary Yu; CFO, Brett Whitmire; Senior Vice President of Worldwide Sales and Marketing, Emily Yang; and Vice President of Marketing and Investor Relations, Gurmeet Dalaiwa. I'd like to remind our listeners that the results announced today are preliminary as they are subject to the company finalizing its closing procedures and customary quarterly review by the company's independent registered public accounting firm. As such, these results are unaudited and subject to revision until the company files Form 10-K for its year ended 12/31/2025. In addition, management's prepared remarks contain forward-looking statements, which are subject to risks and uncertainties, and management may make additional forward-looking statements in response to your questions. Therefore, the company claims the protection of the Safe Harbor for forward-looking statements that is contained in the Private Securities Litigation Reform Act of 1995. Actual results may differ from those discussed today, and therefore, we refer you to a more detailed discussion of the risks and uncertainties in the company's filings with the Securities and Exchange Commission, including Form 10-Ks and 10-Qs. In addition, any projections as to the company's future performance represent management's estimates as of today, 02/10/2026. Diodes assumes no obligation to update these projections in the future, as market conditions may or may not change, except to the extent required by applicable law. Additionally, the company's press release and management statements during this conference call will include discussions of certain measures and financial information in GAAP and non-GAAP terms. Included in the company's press release are definitions and reconciliations of GAAP to non-GAAP items, which provide additional details. Also, throughout the company's press release and management statements during the conference call, we refer to net income attributable to common stockholders as GAAP net income. For those of you unable to listen to the entire call at this time, a recording will be available via webcast for ninety days in the Investor Relations section of Diodes' website at www.diodes.com. And now I'll turn the call over to Diodes' President and CEO, Gary Yu. Gary, please go ahead.
Gary Yu: Welcome, and I thank you for joining us on today's conference call. As announced in our press release earlier today, we ended 2025 with fourth-quarter revenue growing 15% year-over-year and a 13% increase for the full year, which is the highest level of annual growth since 2021. Additionally, this quarter represents the fourth consecutive quarter of double-digit growth year-over-year, further highlighting the success of our design win initiative and content expansion over the past year. We have continued to see the main improvement across our target market and geographies, with the most significant growth for the full year driven by a 25% increase in the computing market, primarily for AI server-related applications, as well as double-digit increases in our automotive and industrial end markets. Also, during the quarter, we began to realize initial improvements in gross margin as product mix benefited from growth in the automotive market, which increased 6% sequentially and 24% year-over-year. We also remain focused on increasing manufacturing efficiency and minimizing underloading costs over the next few quarters to further drive future margin expansion. As we look to the coming quarter, we anticipate extending our success by delivering above-seasonal revenue results and our consecutive quarter of double-digit year-over-year growth. As we look back over this past year, the progress that has been made, I want to take this opportunity to discuss my specific near-term financial target after having been in the role of president and CEO for the past two quarters. After reaching $1,000,000,000 in revenue in 2017, our next billion-dollar goal is to reach $2,500,000,000 in revenue and a $1,000,000,000 in gross profit, or 40% in gross margin. I want to emphasize that we remain committed to achieving these long-term goals. In order to help our investors track our progress toward these goals, today, I'm introducing three-year interim financial targets which include achieving $2,000,000,000 in annual revenue with approximately $700,000,000 in gross profit or 35% plus in gross margin. This equates to a revenue CAGR of 10.5% and a 15% CAGR on gross profit dollars. Most notable, when taking into account our improved cost structure, we are expecting to deliver over $4 in non-GAAP EPS, which equals a 50% CAGR over that three-year period. This interim goal highlights the strong operating leverage in Diodes' financial model and the ability to generate significant earnings power and cash flow on each incremental dollar of revenue growth. As mentioned earlier in my remarks, we continue to prioritize product mix improvement by focusing our sales efforts and R&D dollars in key focus areas of automotive, industrial, and computing for AI-related server applications. Content expansion, design win momentum, and new product introductions will continue to be the cornerstones of our growth initiatives, combined with increased manufacturing and cost efficiencies to drive margin expansion. With that, let me now turn the call over to Brett to discuss our fourth-quarter and the full-year financial results as well as our first-quarter guidance in more detail.
Brett Whitmire: Thanks, Gary, and good afternoon, everyone. Revenue for the fourth quarter of 2025 was $391.6 million, an increase of 15.4% over $339.3 million in the fourth quarter of 2024. Full year 2025 revenue increased 13% to $1.5 billion compared to $1.3 billion in 2024. Gross profit for the fourth quarter was $121.9 million, 31.1% of revenue, compared to $110.9 million or 32.7% of revenue in the prior year quarter and $120.5 million or 30.7% of revenue in the prior quarter. For the full year, GAAP gross profit was $462.4 million or 31.3% of revenue compared to $435.9 million or 33.2% of revenue in 2024. GAAP operating expenses for the fourth quarter were $108.7 million or 27.8% of revenue, and on a non-GAAP basis were $104.0 million or 26.6% of revenue. Which excludes $4.7 million amortization of acquisition-related intangible asset cost. This compares to GAAP operating expenses in the fourth quarter of 2024 of $99.0 million or 29.2% of revenue and $108.9 million or 27.8% of revenue in the prior quarter. Non-GAAP operating expenses in the prior quarter were $103.1 million or 26.3% of revenue. Total other income amounted to approximately $1.3 million for the quarter. Consisting of $7.0 million in interest income, $2.9 million in foreign currency losses, $1.3 million in interest expenses, $1.6 million loss on investment, and $100,000 in other income. Income before taxes and non-controlling interest in the fourth quarter of 2025 was $14.5 million compared to income of $12.3 million in the prior year period and $19.0 million in the previous quarter. Turning to income taxes, our effective income tax rate for the fourth quarter was approximately 14.9%. For the full year 2025, the tax rate was approximately 17.6%. For 2026, we continue to expect the tax rate for the full year to remain at approximately 18% plus or minus 3%. GAAP net income for the fourth quarter was $10.2 million or 22¢ per diluted share compared to net income of $8.2 million or 18¢ per diluted share in the prior year quarter and net income of $14.3 million or 31¢ per diluted share last quarter. Full year GAAP net income was $66.1 million or $1.43 per diluted share. Compared to $44 million or 95¢ per diluted share in 2024. The share count used to compute GAAP income per share for the fourth quarter of 2025 was 46.3 million shares, 46.4 million for the full year. Non-GAAP adjusted net income in the fourth quarter was $15.7 million, or 34¢ per diluted share, which excluded net of tax $3.9 million of acquisition-related intangible asset costs and $1.6 million of loss on investment. This compares to a non-GAAP adjusted net income of $12.5 million or 27¢ per diluted share in the fourth quarter of 2024, and $17.2 million or 37¢ per diluted share in the prior quarter. For the full year, non-GAAP adjusted net income was $56.7 million or $1.22 per diluted share. As compared to $61.0 million or $1.31 per diluted share in 2024. Excluding non-cash share-based compensation expense of $5.3 million for the fourth quarter, net of tax, both GAAP net income and non-GAAP adjusted net income would have increased by 12¢ per share. For the full year, excluding GAAP and non-GAAP non-cash share-based compensation expense of $20.3 million net of tax, GAAP and non-GAAP diluted earnings per share would have improved by 44¢ per share. EBITDA for the fourth quarter was $41.9 million or 10.7% of revenue compared to $40.7 million or 12% of revenue in the prior year period and $46.6 million or 11.9% of revenue in the prior quarter. For the full year, EBITDA was $199.2 million or 13.4% of revenue compared to $177.1 million or 13.5% of revenue in 2024. We have included in our earnings release a reconciliation of GAAP net income to non-GAAP adjusted net income and GAAP net income to EBITDA, which provides additional details. Cash flow provided by operations was $38.1 million for the fourth quarter. Free cash flow was $12.4 million, which included $25.7 million of capital expenditures. Net cash flow was a negative $9.7 million, which includes $23.8 million that was returned to our shareholders by executing on our previously announced a $100 million stock buyback program. The objective of our share repurchase program is to return excess capital to shareholders while partially offsetting the dilutive impact of shares issued under our equity incentive plans. For the full year, cash flow provided by operations was $215.5 million, an increase of $96.1 million compared to $119.0 million last year. Free cash flow in 2025 was $137.2 million, which included $78.4 million of capital expenditures. This represents a $90.8 million increase over $46.4 million in 2024. Working capital was approximately $879.0 million, and total debt including long-term and short-term was approximately $56.0 million. In terms of inventory, at the end of the fourth quarter, total inventory days were approximately 161, as compared to 162 last quarter. Finished goods inventory days were 59 compared to 62 last quarter. Total inventory dollars increased $600,000 from the prior quarter to $471.5 million consisting of a $2.1 million increase in work in process, a $1.2 million increase in raw materials, and a $2.7 million decrease in finished goods. Capital expenditures on a cash basis were $25.7 million for the fourth quarter, or 6.6% of revenue, and $78.4 million or 5.3% of revenue for the full year. Both of which were within our targeted annualized range of 5 to 9% of revenue. Now turning to our outlook for the first quarter of 2026, we expect revenue to be approximately $395.0 million plus or minus 3%. At the midpoint, this represents a 19% increase year-over-year and a slight increase sequentially, which is significantly better than typical seasonality. GAAP gross margin is expected to be 31.5% plus or minus 1%. Non-GAAP operating expenses, which are GAAP operating expenses adjusted for amortization of acquisition-related intangible assets, are expected to be approximately 26.5% plus or minus 1%. We expect net interest income to be approximately $1.0 million. Our income tax rate is expected to be 18.5% plus or minus 3%. Shares used to calculate EPS for the first quarter are anticipated to be approximately 46.4 million shares. Not included in these non-GAAP estimates is amortization of $3.9 million after tax for previous acquisitions. With that said, I now turn the call over to Emily Yang.
Emily Yang: Thank you, Brett, and good afternoon. As Gary and Brett mentioned, fourth-quarter revenue was up over 15% year-over-year, flat sequentially, and at the high end of our guidance. Mainly driven by strong demand in Asia, especially in Taiwan for the AI server-related computing. Our global POS increased sequentially, led by North America and Europe, followed by Asia. This is a good indication of the overall market recovery in the automotive and industrial market. And our channel inventory decreased again, both in terms of dollars and weeks, which are now within our normal range of eleven to fourteen weeks. I will also highlight that with the recent supply interruption in the market, we have been strategically supporting key customers on new opportunities and orders, specifically in the automotive and communication markets, while also further extending our design momentum across all end markets. Our key focus remains on building a strong win-win partnership with our customers for the long term. Looking at global sales in the fourth quarter, Asia represented 78% of the revenue, Europe 12%, and North America 10%. In terms of our end markets, industrial was 22% of Diodes' product revenue, automotive 20%, computing 28%, consumer 17%, and communication 13% of product revenue. Our automotive and industrial revenue combined was 42%, which is a one percentage point increase compared to last quarter due to stronger demand in Europe. In 2025, we introduced over 650 new part numbers, with approximately 40% of this specifically for the automotive market. We have increased our addressable content to $239 per vehicle from $213 at the end of 2024 and from $160 at the end of 2023. Our content in the AI server applications this year increased to 103 from 90 last year. Now, let me review the end markets in greater detail. Starting with the automotive market, revenue in the quarter grew 6% sequentially and 20% for the full year as the inventory situation and overall demand continued to improve. The good news is we have started to see solid bookings with longer visibility on the orders. Additionally, the supply disruption I previously mentioned is expanding content opportunities for Diodes at key automotive customers. During the quarter, we broadened our content and deepened our design momentum across all focus areas, including connected driving, comfort, style and safety, and electrification. Diodes' level shifter gained broader adoption in in-vehicle infotainment, ADAS, and zonal control unit platforms. While our timing solutions saw additional design wins in PCI Express clock generators, buffers, and low-voltage crystal oscillators supporting high-speed ADAS modules. Complementing this momentum, our USB power delivery controllers and DC-DC converters continue to see strong traction across infotainment, charging interfaces, and body electronics. While our Hall effect sensors expanded into new applications, including e-latches, steering locks, and cooling fans. In lighting and motor control applications, we achieved significant wins for multichannel LED drivers across several next-generation lighting programs. Demand for our current monitor remains strong in comfort-focused motor systems, such as power seat and power windows while our LDO solutions continue to run in wireless charging and ADAS-related subsystems. Our bipolar junction transistors portfolio also gained momentum with new program wins supporting actuators and millimeter-wave radar systems. Turning to the industrial market, revenue in the quarter was flat sequentially but increased 13% for the full year. Similar to the automotive market, the inventory situation continues to improve. We are beginning to see overall demand visibility and backlog improvement and are seeing more rush orders than ever before, which is a further indication of the market recovery in 2026. During the quarter, we saw solid momentum across power, sensing, and automation applications. Our LED driver family continued to win designs in traffic signage projects, while current monitors experienced strong demand as power supply unit volumes increased. Diodes' Hall sensor and DC-DC buck converters also maintained steady growth driven by expanding use in fan motors and energy meter platforms. Our SBR product family also remains a key enabler in industrial power with design-ins across power rack and server power manufacturers supporting AI applications. In energy-related applications, our 1,200-volt silicon carbide Schottky barrier diodes were designed into next-generation energy storage platforms. Similarly, our gate driver ICs secured new design wins in battery storage inverters reinforcing our position across industrial electrification and power control infrastructures. In the computing market, although revenue was flat sequentially, we saw the strongest growth in this market for the full year, growing 25% over 2024. The highlight in this market continued to be strong demand across multiple product categories, driven by AI server adoption and data center expansion. BIOS I2C repeaters and USB switches remained in high demand for server and AI-related server platforms from major global customers. Our DDR MOX product line also experienced robust growth as AI server and data center consumers expanded memory bandwidth to support the accelerated AI workflow. We also achieved strong momentum for our PCI Express 5.0 and 6.0 clock solutions, especially as server and mobile OEMs migrate to high-performance architectures optimized for AI systems. In connectivity and power, our USB-C source switches with integrated CC controllers along with our 20-volt low-noise LDOs continue to gain traction, especially in 15-watt USB-C power port for desktop and docking station applications. Additionally, our low-power switches saw increased adoption in data center SSD configurations, while our smart load switches captured multiple design wins for notebook power delivery systems. We also secured several design wins for our SBR product in power delivery adapters for the notebook. In the consumer market, revenue was down 5% sequentially and up 8% for the full year. During the quarter, our WLED driver gained momentum in the virtual reality headset, supporting next-generation high-brightness display architectures while our 5.0 OCT switches in USB and HDMI port protection designs expanded as connectivity requirements increased across personal electronics. Also, our bipolar junction transistor portfolio secured new design-ins across home security devices, whereas our discrete switching components remain essential for reliable sensing and control functions. Lastly, in the communication market, revenue was flat sequentially and up 7% for the full year. We're seeing strong momentum across high-speed connectivity and networking applications driven by AI infrastructures. Our bidirectional level shifters continue to win designs in smartphones, and our SBR rectifiers are also gaining traction in both smartphones and SSDs. We're also seeing growing demand for our differential crystal oscillators in smart NIC cards and optical modules, targeting next-generation 800G–1.6T transceivers supporting the industrial transition to higher bandwidth network infrastructures. And finally, our USB redrivers secured major design wins in next-generation Wi-Fi routers. In summary, our focus in 2026 is executing towards our three-year financial target to drive continued year-over-year growth momentum and margin expansion. With channel inventory at more normalized levels, and further signs of recovery in the automotive industrial market, we expect to see improvements in overall business outlook throughout the year. Additionally, our continued investment in content expansion initiatives targeting our key focus markets of automotive, industrial, and computing for AI software-related applications should contribute to our future top and bottom-line growth. With that, we now open the floor to questions. Operator?
Operator: Ladies and gentlemen, at this time we'll begin the question and answer session. If you would like to ask a question, please press star and then 1 using a touch-tone telephone. To withdraw your questions, you may press star and 2. If you are using a speakerphone, we do ask that you please pick up the headset handset to ensure the best sound quality. Once again, that is star and then 1. To join the question queue. We'll pause momentarily to assemble the roster. And our first question today comes from David Williams from Benchmark. Please go ahead with your question.
David Williams: Hey. Thanks, everyone, and congrats on the really solid results here and the better outlook. Yeah. I guess maybe first, Gary, you gave some pretty aggressive targets there that you've outlined. Can you kind of maybe walk us through the puts and takes and maybe, you know, how you see getting there, maybe just stepping through the trajectory would be helpful. Thank you.
Gary Yu: Yes. And, David, I think that's a really, really good question. You know, first, I really want to emphasize again, we're still committed to achieving the $1 billion gross profit long-term goal. Right? And, you know, I do believe since the market is still kind of dynamic, the interim target of $2 billion revenue is an important milestone for investors to understand and model how and when we are going to achieve our long-term $1 billion gross profit target. So as mentioned in my speech, we now continue to drive and gain share in the three key end markets segment like automotive, industrial, and AI server-related applications, and also continue to improve cost structure and product mix enhancement. And the $2 billion represents a 10.5% CAGR with about $700 million in gross profit, which is about a 15% CAGR and a 35% plus gross profit percentage will deliver $4 EPS, which could equate to probably a 50% CAGR for the three-year period. And, also, to make this happen, you know, we are talking about more than a 45% gross profit flow-through for any incremental dollar contributing to our revenue, and that's very important.
David Williams: That's very helpful. So I get, from the gross margin standpoint, very nice follow-through. Is that simply just the leverage, or are you seeing some of the operational efficiencies that you've worked on in the last several quarters or through the downturn? Is that really beginning to flow through? And then how should we think of the cadence of that gross margin improvement?
Gary Yu: Well, actually, you know, that's a very good question too because, you know, we have been working a lot to improve our cost structure, including improving manufacturing efficiency and product mix improvement. And the most important thing is we bring the revenue up, and that's going to try to help our underloading issue in our manufacturing currently.
David Williams: Right. And just one more, if I may. Just as you think about the growth trajectory through the year, how should we think about that for the full year?
Gary Yu: Well, we usually don't talk about the full year, but I do get a good feeling of the market demand getting much better this year. Right, especially in the key segments that we are focusing on. As we continue to drive these kinds of initiatives, including product mix improvement, pushing more cost reduction, and manufacturing efficiency, as well as continuing to qualify NPC or process product to our And this will help minimize the underloading cost impact. So, overall, the margin improvement for 2026, to me, is very promising.
Emily Yang: Yeah. I think, David, let me just add a little bit. Right? So if you look at the Q1 guidance, we actually guided a 19% year-over-year growth. Right? So even though we don't really guide the whole year, we usually, you know, say, hey, you show seasonality. If you just plug in the usual seasonality, it kind of would give you a good estimate for the year. Right? So I think you can use that as a reference.
David Williams: Great. Thanks so much.
Operator: And our next question comes from William Stein from Truist Securities. Please go ahead with your question.
William Stein: Congrats on the good results. Regarding the new targets, I think you said that's a three-year target. Should we contemplate this interim goal as something you plan to achieve in calendar twenty-eight?
Gary Yu: Yeah. Definitely. Yes. This is why I committed to the 45% drop-through.
William Stein: That doesn't sound like it's sort of normal operating leverage. It sounds like it's an underutilization charge going away. Is that the way we should think about that dynamic from here through 'twenty-eight?
Gary Yu: Yeah. Definitely. Underloading charge is going to be the key factor for the gross profit percent. But that isn't the only thing we want to improve. Right? Not only the underloading charge, but we also want to improve the product mix, you know, enhancement, and also want to concentrate and focus on high-margin segments like automotive, industrial, and AI-related servers. Altogether, they will contribute more gross profit dollars. And gross profit percent.
William Stein: One final one if I can. You have these manufacturing services agreements that I think are coming to an end this year or maybe they're diminishing. Can you clarify that for us and help us prepare for any changes that might cause either positive or negative to profitability? Thank you.
Gary Yu: Yes. You know, and your assumptions are correct. We cannot disclose too much detail about that. And they are about to actually end this year. And that's the reason we try to, you know, continue reporting our product and processing to the manufacturing in our g-fab and s-p fab. And so far, the progress is quite promising, and we do see that quite a few key customers have already adapted to the product produced from those two wafer fabs. And I will say, probably starting from next year, you'll see the benefit contributing to our gross profit percent on those two wafer fabs.
David Williams: Thank you.
Operator: Once again, if you would like to ask a question, please press star and then one. To withdraw your questions, you may press star and two. Again, that is star and then one to join the question queue. And we do have a follow-up question. From David Williams from Benchmark. Please go ahead with your follow-up.
David Williams: Hey. Thanks for letting me jump back in here. No problem. I get this always rough. Well, you were so efficient in answering my first question. I figured I should throw in a couple more. But, maybe just on the opportunity with Nexperia or the customer that you discussed earlier, can you maybe size the magnitude of that? And then I know that that historically has been lower-margin business. Can you talk about what you're doing to help stabilize the margin and not see the pressure here that you would typically see with that business?
Emily Yang: Yeah. So, David, this is Emily. Right? So I've mentioned this before. Anytime there's a supply interruption or market strategic change, direction, or anything, it's always favorable for diodes. Right? So we're not interested in picking up a lot of deep commodity business and stuff like that. But we actually use the opportunity to work with the customer to really deepen the relationship and make it really, I would say, beneficial long-term for both companies. Right? So that's pretty much the approach we're taking. So we are using the opportunity to expand our overall portfolio as well as our print position.
David Williams: And just one last one. Just kind of thinking about the lunar holiday coming up in Asia. I know that typically drives some seasonality. Are you sidestepping that, or are you just not seeing the impact or maybe talk about anything you're doing there to offset that typical weakness?
Emily Yang: Yeah, Chinese New Year is pretty standard, right? Definitely, there's going to be some shutdowns and some of the customers, as well as taking the break, right? So we actually included all these estimates into our numbers. But like I mentioned, we're definitely seeing a really strong backlog, really strong bookings, strong book-to-bill, and everything. So that's the reason we actually guided a very strong Q1 estimate guidance to the street. So like I said, we're seeing a lot of recovery in the market, which is a good indication of the recovery.
David Williams: Thanks again for the help. Congrats once again.
Emily Yang: Thank you. Thanks, David.
Operator: And ladies and gentlemen, at this time, we'll be concluding today's question and answer session. I'd like to turn the floor back over to the management team for any closing remarks. 
Gary Yu: Thank you, everyone, for participating on today's call. We look forward to reporting our progress on next quarter's conference call. Operator, you may now disconnect. 
Operator: And ladies and gentlemen, we will conclude today's conference call and presentation. We thank you for joining. You may now disconnect your lines.